Operator: Ladies and gentlemen, thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time today, please press 0, and a member of our team will be happy to help you. Please standby; your meeting is about to begin. Good morning, everyone. Welcome to the Janus International Group, Inc. fourth quarter and full year 2025 earnings conference call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone should require operator assistance during the conference today, you may press 0. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Sara Macioch, Senior Director, Investor Relations of Janus International Group, Inc. Please go ahead, ma’am.
Sara Macioch: Thank you, operator, and thank you all for joining our earnings conference call. I am joined today by our Chief Executive Officer, Ramey Jackson, and our Chief Financial Officer, Anselm Wong. We hope that you have seen our earnings release issued last night. We have also posted a presentation in support of this call, which can be found in the Investors section of our website at janusintl.com. Before we begin, I would like to remind you that today’s call may include forward-looking statements. Any statements made describing our beliefs, plans, strategies, expectations, projections, and assumptions are forward-looking statements. The company’s actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, including, but not limited to, tariffs, interest rates, and other macroeconomic factors, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects, and future results. We assume no obligation to update publicly any forward-looking statements, and any forward-looking statement made by us during this call is based only on information currently available to us and speaks only as of the date when it is made. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margin, adjusted net income, adjusted EPS, and net leverage. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. On today’s call, Ramey will provide an overview of our business. Anselm will continue with a discussion of our financial results and 2026 guidance before Ramey shares some closing thoughts and we open up the call for your questions. I will now turn the call over to Ramey.
Ramey Jackson: Thank you, Sara, and good morning, everyone. Thank you all for joining our call today. To begin, I would like to express my appreciation for our team at Janus International Group, Inc. for their hard work and dedication. 2025 was a challenging year as our markets remained constrained due to macroeconomic concerns and sustained high interest rates. We focused on execution, operating safely, and serving our customers as we worked to stabilize the business, delivering $884.2 million in revenue and $168.2 million in adjusted EBITDA for the year. Despite an unfavorable backdrop, we realized several key wins in 2025 as we worked to position the business for long-term success. On the self-storage side, Janus International Group, Inc.’s Nokē products were present at five out of six facilities earning Facility of the Year awards from Modern Storage Media. Our Betco business announced a comprehensive expansion of its metal decking product line and received a certification from the Steel Deck Institute, achieving an exceptional score and reinforcing our commitment to quality. We also unveiled a redesigned web portal for our Nokē Smart Entry platform, and in Europe, we launched a new high-security swing door. On the commercial side, our ASTA business rolled out its high-performance product offering and achieved Miami-Dade certifications, further strengthening its portfolio. From a financial standpoint, our strong liquidity and cash generation allowed us flexibility to be opportunistic with regards to capital allocation priorities in 2025. We completed a voluntary prepayment of $40 million on our first lien term loan in 2025 and repurchased 1.9 million shares for $16 million throughout the year under our share repurchase program, which had $80.5 million of remaining authorization at year-end. We were also pleased to receive an upgrade of our credit rating from S&P in October. While we anticipate market conditions will continue to be constrained, principally in new construction in North America, in 2026 we will continue to execute and focus on what we can control. As a diversified solutions provider with a global network of manufacturing and installation capabilities, we are committed to executing our strategy of further penetrating the self-storage market, increasing our share in the commercial market, driving adoption of access control technology, and pursuing strategic accretive acquisitions. I will now expand on each of these priorities. First, in the self-storage market, we have shared our strategy of increasing our content in facilities. Our acquisition of Kiwi II Construction announced in January exemplifies this approach by expanding and strengthening Janus International Group, Inc.’s exterior solutions offering and design-build capabilities. Kiwi II is a premier self-storage buildings provider. It is well respected within the industry for its high-quality service and engineering prowess. They have an established, active base of institutional customers and a solid presence on the West Coast and in Florida. Kiwi’s business is complementary to our design-build business, Betco, which has a stronger geographic presence on the East Coast and primarily serves non-institutional customers. Kiwi also aligns well with our Janus International Group, Inc. core business, which focuses on interior self-storage solutions, including doors and hallways, and this integration will allow Kiwi to offer a full end-to-end solution for self-storage. We are very pleased to welcome Kiwi to the Janus International Group, Inc. family, and our early integration efforts are progressing well. Another key driver of our self-storage market penetration is leveraging our differentiated R3 platform. We estimate that nearly 65% of the facilities in the United States are over 20 years old, supporting sustained renovation activity. Industry consolidation is further accelerating this trend as large operators invest to bring aging assets to modern standards. Janus International Group, Inc. is uniquely positioned to meet these needs as the category creator for self-storage restore, rebuild, and replace services. Our International segment represents another important lever in advancing our self-storage penetration. Over the past several quarters, we have carefully refined our product offering and go-to-market strategy to better serve our customers, which has been a driver of our international revenue growth this past year. We are committed to continuing the momentum we saw in 2025 by focusing on increasing scale in our Nokē product as well as pursuing targeted geographic expansion into new countries that will support strategic growth moving forward. The second priority of our growth strategy is increasing our share in the market for commercial doors. The commercial door market is vast, and as a smaller player in the space, we see plenty of opportunity to drive growth over time. As demand for commercial construction continues to grow, we are working to refine our offering and leverage our manufacturing expertise to provide a robust suite of commercial door solutions. We are seeing positive results from our expanded distribution footprint, as well as our multiyear efforts to secure product specifications. We are pleased to share some of our rolling steel doors are now being specified in data centers, representing a meaningful step forward for Janus International Group, Inc. in a fast-growing segment. Next, on the access control front, adoption of our Nokē Smart Entry system continues to progress. Our industry-leading smart security system improves efficiency for operators by streamlining labor needs, reducing theft, and increasing unit-level security. Nokē also offers operators high-value customer insights such as usage trends and other unit-level data. At the same time, the smart locking solution enhances the customer experience, allowing for a seamless access solution and features such as remote monitoring and digital key sharing that provide a competitive advantage for operators. As of year-end, we had 458,000 installed units, representing an increase of 25.5% year over year. As I shared on our last earnings call, we have seen an increase in interest from large institutional customers for our Nokē products. We are encouraged by this momentum as we continue to enhance our offering and move towards scale and improved margin performance in our Nokē business this year. Finally, we will continue to pursue strategic acquisitions to build on our track record of identifying, executing, and integrating acquisitions to support our growth. As we have stated, M&A is part of our DNA. We will continue to seek value-added opportunities that have a strategic fit within our organization in order to expand our product and solutions offerings. Consistent with the priorities I just outlined, we are initiating our 2026 guidance range. We expect revenue in the range of $940 million to $980 million, which represents an 8.6% increase at the midpoint from 2025. Adjusted EBITDA is expected to be in the range of $165 million to $185 million, a 4% increase at the midpoint from 2025. As I conclude, I would like to emphasize that our strategic priorities remain intact. Despite the near-term challenges, household utilization for self-storage continues to grow. With sustained high occupancy rates in the industry, we believe demand will only increase when the housing market improves. While the market headwinds we are facing, particularly in new construction, may persist, we are committed to focusing on what we can control in the near term. We are the industry leader in self-storage solutions with significant scale, financial discipline, and attractive adjacencies for expansion. As we look ahead, we believe we will be well positioned in the markets we serve when macro conditions improve. I will now turn the call over to Anselm for a further review of our quarterly financial results along with more details on our initial 2026 guidance. Anselm?
Anselm Wong: Ramey spoke to our full-year results at a high level, and I will focus my remarks on our financial performance in the fourth quarter followed by a discussion of our initial 2026 guidance. For the fourth quarter, consolidated revenue of $226.3 million declined 1.9% as compared to the prior-year quarter. In total, our self-storage business was down 0.4%. New construction decreased 8.1%, and R3 was up 12.7% for the quarter. The decline in revenues for new construction was driven by weaker demand for development in the Americas from our non-institutional customers, partially offset by strength in our International segment. The increase in R3 revenue was driven by increases in door replacement and renovation activity. In the fourth quarter, our International segment saw total revenues increase to $26 million, up $6.5 million, or 33.3%, compared to the prior year, driven by growth in new construction and market share gains as well as positive foreign exchange rates. For the quarter, revenue in our Commercial and Other segment decreased by 5%. The decline was primarily driven by softness in demand for commercial sheet doors, partially offset by strength in rolling steel and TMC. On a consolidated basis, the impact to revenues for the quarter was roughly 90% price and 10% volume. Fourth quarter adjusted EBITDA of $37.2 million was up 7.5% compared to 2024. This resulted in an adjusted EBITDA margin of 16.4%, an increase of approximately 140 basis points from the prior-year period. The increase in margins year over year is primarily attributable to the prior year being negatively impacted by adjustments to our provision for credit losses and an additional warranty reserve, which was partially offset by volume declines and the impact of geographic segment and sales channel mix. We are seeing benefits from our previously announced cost reduction program, achieving the target of $10 million annual pre-tax cost savings in 2025. We continue to regularly evaluate opportunities to improve our efficiencies. To this end, in early 2026, we successfully completed an expansion of our facility in Surprise, Arizona. With the additional capacity now available at our Arizona facility, we were able to optimize our manufacturing space by combining two of our facilities in Houston. This streamlining of our operational footprint will not affect our product offerings, quality standards, or customer service levels. For the fourth quarter, we produced adjusted net income of $15.6 million, down 15.2% compared to the prior-year period, and adjusted EPS of $0.11. We generated cash from operating activities of $24.8 million and free cash flow of $19.2 million in the quarter. On a trailing twelve-month basis, this represents a free cash flow conversion of adjusted net income of 137%. Capital expenditures in the quarter were $5.6 million. We ended the quarter with $260.5 million in total liquidity, including $194.4 million of cash and equivalents on the balance sheet. Our total outstanding long-term debt at year-end was $551 million, and net leverage was 2.1x. Following the acquisition of Kiwi II Construction, as stated in the press release, our net leverage is expected to remain within our target range of 2.0x to 3.0x. These liquidity levels provide us optionality with regard to capital deployment, and we had $80.5 million remaining on our share repurchase authorization at year-end. In February, we were also pleased to announce a repricing of our first lien term loan, reducing our interest rate by 50 basis points from SOFR plus 250 to SOFR plus 200, significantly lowering our cost of capital and enhancing our financial flexibility. Now moving to our 2026 guidance. As Ramey mentioned, full-year revenue is expected to be in the range of $940 million to $980 million. This includes approximately $90 million to $100 million in inorganic revenue from the Kiwi II Construction acquisition. Our guidance does not include any embedded assumptions of an improvement in market conditions. We expect North American organic self-storage revenues to be down mid-single digits compared to 2025, driven mostly by continued softness in new construction. In our commercial sales channel, we anticipate a return to growth in 2026, driven by our ASTA business. On the International side, we expect high single-digit revenue growth. 2026 adjusted EBITDA is expected to be in the range of $165 million to $185 million. This reflects an adjusted EBITDA margin of 18.2% at the midpoint. Consolidated EBITDA margin will continue to be impacted by both geographic segment and sales channel mix. We expect that Kiwi II’s EBITDA will be a drag on overall margins for 2026, and synergies from the acquisition are expected to be back-end loaded for the year. Cash flow remains robust, and for 2026, we anticipate being around the higher end of the free cash flow conversion of adjusted net income target range of 75% to 100%. Please refer to the presentation we have posted for details on the key planning assumptions for 2026. Thank you for your time. I will now turn the call over to Ramey for his closing remarks. Ramey?
Ramey Jackson: Thank you, Anselm. Janus International Group, Inc. has a solid position in a great industry. We are the partner of choice for our customers through the full life cycle of their projects, from design and build-out to maintenance and facility upgrades. While we face a dynamic operating environment, we continue to focus on the factors we can control. Consistent with our growth strategy, we are optimistic about our recent acquisition of Kiwi II Construction, and we are confident in our plan to achieve our 2026 guidance of total revenue in the range of $940 million to $980 million and adjusted EBITDA in the range of $165 million to $185 million, reflecting growth of 8.6% at the midpoints, respectively. As I mentioned, household utilization for self-storage continues to grow. This, coupled with sustained high occupancy rates in the industry, is a positive signal for increased future demand with recovery in the housing market. Our strong balance sheet and cash flow foundation position us to further build upon our industry leadership position, expand into adjacent markets with attractive fundamentals, and support our future growth. Taken together, I remain confident in our strategy and in our ability to deliver long-term value for our stakeholders. In closing, I would like to thank our team, customers, and shareholders for your support. We appreciate your participation on today’s call. Operator, we will now open for questions.
Operator: Certainly, Mr. Jackson. Thank you, sir. Ladies and gentlemen, at this time, if you would like to ask a question, please press 1 on your telephone. If you find your question has been addressed, please press 1 again to withdraw. Once again, that is 1 for questions. We will go first this morning to Daniel Moore with CJS Securities.
Will Gildea: Good morning. This is Will on for Dan.
Ramey Jackson: Hey. Good morning. Good morning.
Will Gildea: You have always described the core self-storage business as having two to three quarters of visibility. How does your visibility today compare to historic averages?
Anselm Wong: I think we still have similar visibility from what we see in that two to three quarters based on the backlog that we have. It has been similar in terms of visibility, and we reflect that in our guide.
Ramey Jackson: In terms of new construction, we are going to continue to see pressure there, but we are certainly optimistic around R3 and some of the initiatives that we are focused on like Nokē, the R3 efforts, and just remaining super competitive and having that dominant strength in new construction and commitment to our customers. It is all reflected in the guide.
Will Gildea: Thank you. And just a follow-up: what are the one or two key metrics your REIT customers are looking for that would give them confidence to start to invest and build out new capacity once again?
Ramey Jackson: It is 100% interest-rate driven. We have been very consistent in terms of the driver. The number-one driver of self-storage is mobility around housing. That is on the sidelines today. When you look at how operators are performing, there is certainly some noise around pricing, but it is a very stable operating environment, lacking the largest driver, which is mobility around housing. Once people start moving around, you are going to see a different operating environment.
Will Gildea: Thank you.
Operator: Thank you. We will go next now to Jeff Hammond of KeyBanc Capital Markets.
David Tarantino: Good morning, everyone. This is David Tarantino on for Jeff.
Ramey Jackson: Hey, David.
David Tarantino: Maybe starting with margins, could you give us a bit more color on the degree of headwind from the higher International mix in 4Q and what you have assumed in the guide on the margin line from an organic perspective? And then maybe any thoughts on how long you expect these mix headwinds to last would be helpful.
Anselm Wong: Thanks for the question. If you saw what we printed for the quarter, you saw International continue to grow pretty strongly, as it did for the full year. If you look at their EBITDA margins, obviously it has improved year over year, but it is still significantly down versus our North America. Going into next year, as Ramey said in his remarks, we are still seeing softness in our new construction in our Janus International Group, Inc. core Americas business, which is a meaningfully higher margin rate. We cannot predict when that turn is going to be, but as long as we are going to see some of that pressure on the new construction piece in the Americas, we will probably have some margin and mix headwinds from that.
David Tarantino: And just to follow up quickly there, is it fair to assume that the guide assumes that these mix headwinds persist through 2026?
Ramey Jackson: Yeah. Definitely.
David Tarantino: Okay. Great. And then on commercial, it seems like it weakened if you adjust for the TMC catch-up, and you called out some commercial sheet door decline. So could you give us some color on the softness here? And I just want to clarify on the guide: is it high single digits just for ASTA, or what are we thinking for the whole business?
Anselm Wong: For commercial, if you include everything together, it is in the high single-digit range, but not if you actually back out the TMC piece. Looking at Kiwi in there and the other pieces balances the number, but if you look at the guide, we are probably mid-single digit for commercial for the full year. Just additional color: a lot of the softness in commercial is coming from commercial sheet. We are actually seeing growth in our ASTA business, which we highlighted.
Ramey Jackson: We have been consistent in terms of the messaging around architectural specifications effort, and we have certainly secured some work around the data center space, which is an exciting space to be in, and we have worked really hard to get specced. So we are excited about that and expect growth in the rolling steel business.
David Tarantino: Great.
Operator: Thank you. We will go next now to Reuben Garner of The Benchmark Company.
Reuben Garner: Thanks. Good morning, guys. Morning.
Reuben Garner: I think that you are roughly implying low single-digit organic revenue declines if we strip out an assumption for Kiwi. One, is that accurate? And two, can you break down the components of that price and volume? And then you mentioned commercial, but what about your assumptions for new versus R3 on the self-storage side as we sit today?
Anselm Wong: That is about right, Reuben. We are looking at an organic decline in the core business. The biggest piece, as we described, is really in that new construction Americas piece. That piece is going to continue to be a drag in terms of what we are seeing in the environment today, and that is what brings down the revenue year over year for the organic piece.
Reuben Garner: And in terms of price versus volume?
Anselm Wong: Price right now, as we described, we had more price in 2025 that will roll into the first half of this year. So think about a similar type of price impact in the first half, barring anything that happens with steel in the back half.
Reuben Garner: Okay. And then can you—you have talked about the margin profile a little bit of Kiwi, but can you break out what gross margin looks like for that business? And then on the synergy front, can you go into detail on the synergies? I assume that there are some top-line potential synergies at some point as well. Just refresh us on the opportunities there.
Anselm Wong: We have not disclosed any of the details on the synergies, Reuben. But if you think about EBITDA margins, we have given a range where it would be in that low-teens range to start with because of integration costs and getting that business integrated into Janus International Group, Inc. Longer term, we said that it has potential to get into the high teens as a business.
Reuben Garner: Okay. Thanks, guys, and good luck.
Ramey Jackson: Just to add to that, Reuben, as a stand-alone—I think you are asking the question as a stand-alone—but part of the acquisition strategy was Kiwi had never gone to market with the full solution, meaning door and hallway. Now they can offer their customers end to end both buildings and interiors, and as you know, the Janus International Group, Inc. core business is higher margin. We expect to see some pickup in the Janus International Group, Inc. core sales by going to market with Kiwi, so we will experience some higher-margin stuff at core with the acquisition.
Reuben Garner: Great. Very helpful. Thanks, guys.
Operator: Thank you. We will go next now to Phil Ng of Jefferies.
Phil Ng: Hey, guys. Hey. Good morning. The outlook—you are not assuming much of an improvement here, which seems more than reasonable. But, Ramey, you talked about what is going to drive volumes perhaps reaccelerating as housing turns—housing mobility. We could look at that from existing home sales and certainly rates coming down. All good. Help us unpack what is the lag if we look at that turnover inflecting. How does that impact your business, whether it is R3 or new construction? The other piece you have teased out in the past on rates is really more for your non-institutional customers. Maybe credit has been more challenged into less mortgage rates, more shorter-term rates, and maybe their ability to pursue more projects. Any color on that front if the credit markets have loosened up a little bit?
Ramey Jackson: That is a great question. I do not know that I can answer a lot of that, but from a confidence perspective, when things start to turn and things feel better, you will see increased activity and investment. As we sit today, the mom-and-pops are essentially on the sideline, and that is a big—it is 70% of the market. Any momentum we can get with that segment will certainly have incremental value. When you think about R3, obviously acquisitions matter, and I think we are hearing from the REITs that this should be a good year for acquisitions, which should bode well for R3. I cannot predict the interest rate and what is going to get people moving around. I have no earthly idea—you probably know that better than me. We are focused on being in the right position so when this turns around we can take advantage of it, sticking to our corporate strategy, making sure that we are lean, focused, and able to optimize everything and take advantage of what the market has to offer.
Phil Ng: That is great color, Ramey. Then your outlook on R3 sounds a little more upbeat. I may have missed it if you quantified what you are assuming for R3. Is that mostly M&A—that you are talking about big REIT guys doing more renovation work that is driving that—or are you seeing other avenues that give you enthusiasm on that inflection in R3? Certainly you have had some headwinds with the retail side of things that seem to have bottomed out. Give us a little more perspective on what is driving the inflection in R3.
Ramey Jackson: You hit it. It has a lot to do with acquisitions. Obviously some of the big names we all know—we kind of track that activity—and that has been a big driver. What we are finding with our Nokē product line is folks that are interested in adopting Nokē are taking advantage of that opportunity to disrupt the unit, disrupt the tenants, and do full door replacement. That is a newer use case that is driving the R3 kind of renovation door replacement. Keep in mind, 60% of the installed base is over 25 years old, so there is still a meaningful replacement cycle that exists, and we just have to continue to put ourselves in position to take advantage of that.
Phil Ng: Okay. And, Ramey, since you brought up Nokē—good milestone this past year, up quite a bit. I believe we are not far away from that breakeven threshold of 500,000 units where it swings to a much bigger kicker to your profitability. What are you assuming this year in terms of Nokē contribution, and any big ones you want to call out in terms of some of these bigger REITs that have perhaps adopted or committed to more Nokē units for this year?
Ramey Jackson: I will let Anselm talk about the metrics, but we remain super optimistic with Nokē. Nokē is addressing a few industry issues right now. A lot of customers are experiencing increased operating costs; our Nokē customers are watching those operating costs go down. There is an issue in the industry around theft and security; our Nokē customers are addressing that and eliminating that element. It is really resonating and building out additional use cases. I am not going to mention names at this point in terms of the larger folks who are working with the solution, but it continues to increase. We are in a much better place in terms of enterprise-grade software. The team has done a phenomenal job on uptime and stability. We plan on rolling out additional products this year, and we are excited. You hit the nail on the head—we are going to hit 500,000 units this year. Anything past that is going to help improve the bottom line, so I am even more optimistic today than I was in the past.
Operator: Thank you. We will go next now to John Lovallo of UBS.
Matt Johnson: Thanks, guys. This is Matt Johnson actually on for John. I appreciate the time. First off, sales in the quarter were a bit stronger than we were expecting—I think they were above the top end of the outlook as well—while EBITDA was closer to the midpoint, so margin was a bit lower than we were expecting. I think you mentioned it a little bit in the prepared remarks, but were there any mix impacts to call out, particularly on the gross margin side? How should we think about the trajectory of gross margin as we move into 2026?
Anselm Wong: As we said earlier, it is the trend of the mix of the North American business being down a bit more than the other BUs that we have. As you know, the margin is a lot different. You saw International continue to be strong in the quarter, and their margin rate is lower than the Americas. That is the trend we saw, and that is what we indicated is going into 2026 in our guide.
Matt Johnson: That makes sense. And within the context of the 2026 outlook, how should we think about sales and EBITDA in the first quarter, and how impactful was adverse weather in January?
Anselm Wong: If you look at the trend, the trend we talked about continues into Q1, where new construction in the Americas is a bit softer. There is a little weather impact that we have seen as well, so I would expect a slower start for the year.
Matt Johnson: Thanks, guys.
Operator: And, gentlemen, it appears we have no further questions today. Mr. Jackson, I would like to turn things back to you, sir, for any closing comments.
Ramey Jackson: Thank you all for joining us today. We appreciate your support of Janus International Group, Inc. and look forward to updating you on our progress. Have a great day.
Operator: Thank you, Mr. Jackson. Thank you, Mr. Wong. Again, ladies and gentlemen, that will conclude the Janus International Group, Inc. fourth quarter and full year 2025 earnings call. Thanks so much for joining us, everyone. We wish you all a great day.
Unknown Speaker: Goodbye.